Operator: Good morning. My name is Lorry, and I will be your conference operator today. Welcome to Luxfer's 2018 Third Quarter Earnings Conference Call. [Operator Instructions] Now I will turn the conference over to Doug Fox, Luxfer's Director of Investor Relations. Doug, please go ahead.
Doug Fox: Thank you, Lori, and welcome. With me today are Alok Maskara, our CEO; and Heather Harding, Luxfer's CFO. First, Alok will provide a brief overview, followed by Heather's review of the third quarter's financial performance. Alok will then return for some closing remarks. Today's webcast is accompanied by a slide presentation, which can be found in the Investors section of the Luxfer's website. We will refer to these slides throughout our prepared remarks. Any references to non-GAAP financials are reconciled in the appendix of the presentation. Before we begin, please let me remind you that any forward-looking statements made about the company's expected financial results are subject to future risks and uncertainties. Please refer to Slide 2 of today's presentation for further details. After our prepared remarks, we have reserved time for questions and answers. Now let me turn the call over to Alok. Alok, please go ahead.
Alok Maskara: Thanks, Doug. Good morning, everyone. Thank you for joining us today. Please turn to Slide 3 for the summary of our performance for the third quarter of 2018. Luxfer is pleased to report another strong quarter of growth, improved profitability and stronger cash conversion. For the third quarter of 2018, revenue increased 12% to $129.1 million on broad strength across the company. New products and improved sales execution helped us recover share and enabled us to deliver the highest quarterly revenue since the fourth quarter of 2012. Revenues for Elektron Segment increased 11% to $66.9 million, and revenues for the Gas Cylinder Segment increased 13% to $62.2 million. We are really pleased with the continued growth in the Elektron Segment and the increased growth momentum in the Gas Cylinder Segment. Higher volumes and ongoing productivity initiatives helped lift quarterly gross margins 130 basis points to 26.9% from 25.6% a year ago. Third quarter adjusted EBITDA was $23.1 million, up 38% from $17 million in 2017. Quarterly adjusted fully diluted earnings per share increased 89% to $0.53 from $0.28 a year ago. Net cash flow before financing increased 90% on the strength of the business and more effective control over capital. Based on the strong results for the quarter and the underlying business fundamentals, we now expect full year 2018 adjusted earnings per share to be around $1.65 per share. The revised expectation for the full year accounts for the seasonality in our business, lower hurricane-related shipments and the acceleration of some investments in simplification, productivity and growth. The momentum in our core business remains strong, and we are pleased to have the opportunity to accelerate certain investments, which will boost our long-term growth potential. Now please turn to Slide 4. With Luxfer's third quarter performance, the company has now posted 5 consecutive quarters of double-digit revenue growth. Sustained revenue growth, combined with productivity actions, has increased our adjusted EBITDA for the trailing 12 months by 36% compared to the prior period. Higher income, combined with greater emphasis on cash conversion, has significantly strengthened our debt and balance sheet position. Our CFO, Heather Harding, will tell you more about it. Heather, please go ahead.
Heather Harding: Thanks, Alok, and good morning, everyone. Now please turn to Slide 5 for a summary of our consolidated quarterly performance. Consolidated revenue for the third quarter was $129.1 million, up $13.9 million or 12% from $115.2 million for the third quarter of 2017. Revenue for both segments increased more than 10%. The higher volume drove nearly 90% of this growth, accounting for $12.4 million of the year-over-year improvement. FX has less than a $1 million negative impact on sales, while price recovery added $2.2 million to the growth. Adjusted EBITDA of $23.1 million increased 38% from a year ago. In addition to the higher volume and mix, cost reductions added $2.6 million to the results. Pricing mostly offset material and wage inflation. Now please turn to Slide 6 for an overview of the Elektron Segment performance. For the Elektron Segment, revenue increased a solid 11% to $66.9 million, driven on the strength of zirconium chemicals and magnesium alloys, including SoluMag. In zirconium chemicals, we are confident of having achieved share gains that delivered double-digit growth for two consecutive quarters. As expected, lower shipments of the disaster relief products partially offset the growth in magnesium alloys and zirconium chemicals. FX and price did not have material effects on quarterly sales on this segment. Adjusted EBITDA for Elektron increased 35% for the quarter from higher volumes, price and the benefit of cost reductions, partially offset by higher raw material and wage costs. Adjusted EBITDA exceeded 25% for the quarter in this segment. Now please turn to Slide 7 for an overview of Gas Cylinder Segment performance. Quarterly revenue for cylinder segment increased 13%. All business units in the segment contributed to the growth with high growth in alternative fuel systems and Superform. In this segment, too, volume was the largest contributor to the growth, followed by price. FX had only a $400,000 negative impact on revenue for the quarter. Third quarter adjusted EBITDA for gas cylinders increased 47% from $4.3 million to $6.3 million with margin reaching better than 10%. Price more than offset material and wage inflation. During the second quarter of this year, we implemented surcharges to offset the higher cost of aluminum. We are pleased that they had their intended effect and we are now at parity with pricing. Volume and mix also made meaningful, favorable impact on EBITDA growth. Now please turn to Slide 8, where we cover key income statement metrics. While we have already covered most of this information, I want to point out the low 14.5% adjusted effective tax rate for the third quarter, down from 27.2% for last year's third quarter and 21.3% for the second quarter of this year. The tax rate reduction in the third quarter is primarily the result of our ability to use more NOLs in the UK as a result of the underlying improving performance of the UK businesses. These NOLs contributed approximately $0.04 per share to our adjusted earnings. Now please turn to Slide 9, where we highlight our year-over-year balance sheet performance. In looking at our balance sheet and cash flow performance, we are pleased at the improved results in most areas. From a year ago, net debt decreased by 22 million to $79 million, which is a reduction from 93.8 million at the end of the second quarter. Our net debt to adjusted EBITDA leverage ratio stood at a modest 1.0 at the end of the third quarter. Working capital was also down year-over-year by $2.2 million. Our working capital, as a percentage of annualized revenue, improved by 270 basis points to less than 20%. Also during the quarter, net cash flow before financing nearly doubled to $12.9 million from 6.8 million, reflecting the strong operating performance and control of our working capital. Finally, we are pleased that the pension deficit declined further to 26.5 million, down from 37.5 million at the end of the second quarter and 55.3 million at the end of 2017. This reduction was due to an increase in UK discount rate and change in the UK long-term inflation expectations. Let me finish by noting that Luxfer's financial condition continued to improve. We ended the quarter with conservative debt leverage, improving profitability and strong cash conversion. Let me now turn the call back over to Alok.
Alok Maskara: Thank you, Heather. Please turn to Slide 10 for an update on the five key elements of our ongoing transformation plan. As we move to the end of the year, our simplification plan is nearly complete. We are ready to exit our SEC foreign private issuer status, and on January 1, 2019, we will become an SEC domestic issuer. Hence, these third quarter results are the last ones that we will be reporting under UK IFRS. Beginning with the fourth quarter and 2018 full year, our financial results will be reported under U.S. GAAP. To facilitate the transition included with the 6-K release yesterday, we have published supplementary financial information under U.S. GAAP. After the first of the year when we become a domestic issuer, we expect to publish a more comprehensive set of historical numbers. In addition, to provide greater transparency to our shareholders on executive compensation and corporate governance, we will become compliant with SEC's Section 16 and file the appropriate Forms 3, 4, and 5 in 2019. Annual proxy for 2018 will also be filed in April 2019. On the operational aspect of the transformation plan, I am pleased that our cultural transformation of driving results through pay for performance is gaining traction and delivering results. While there is more work to do, accountability is becoming a stronger value at Luxfer. As innovation remains a cornerstone for our growth, we are now implementing a stage-gate process for optimizing our ideas to launch funnel. Adoption of this process will enable us to develop new products faster and ensure that our products solve the need of a wider range of customers. In 2019, we will begin shipping our new ECLIPSE high-pressure composite cylinder, which is up to 20% lighter than comparable aluminum line cylinders and 3% lighter than composite line products. In addition, now with U.S. DOT approval, we hope to see growing demand for our unique L7X alloy, high-pressure aluminum cylinder, which can be filled up to 3,000 psi. In Elektron, in 2019, we will begin to see first revenues from our zirconium-based compound that is used as an ingredient in AstraZeneca's new Lokelma drug. This drug is used for the treatment of adults with elevated potassium levels in the bloodstream. On the productivity side, we are very pleased with our progress in meeting our $20 million cost-reduction goal by 2021. For the year-to-date, we have already achieved $4.7 million in annual savings, and we expect to recognize approximately $6 million in cost savings for the full year 2018. Finally, let me comment on our portfolio. Over the next few years, M&A will play a role in maximizing the value of the company for its shareholders. At any given time, we continue to evaluate a number of M&A opportunities to further our strategy of becoming a stronger, highly engineered advanced materials company. We screen these opportunities for strategic fit, expected return on invested capital and shareholder returns. In the meanwhile, our focus remains on deploying Luxfer's capital in those areas that deliver the highest risk-adjusted returns. Now please turn to Slide 11. Results for the quarter were very good as both growth and cost reductions were better than expected. Customer demand is increasing for innovative products such as SoluMag, and share recovery is occurring, notably in zirconium chemicals and alternative fuel cylinders. In addition, third quarter results benefited from improved operating trends in Superform. As a result, we are updating our full year guidance for adjusted earnings per share to approximately $1.65. This forecast contemplates ongoing favorable business activity, tempered by seasonal factors that affect our fourth quarter. Our outlook does not incorporate any further hurricane activity. At the same time, we are planning to take advantage of the current strength to accelerate spending on certain programs to support future growth and productivity. With the strong 2018 performance, we are confirming our targets of delivering 8% to 10% growth in our adjusted earnings in each of the next 3 years. Now please turn to Slide 12 for a wrap-up. The best days of Luxfer are ahead of us. We are making significant progress in 2018 towards our goal of building a stronger company focused on highly engineered advanced materials, serving attractive ends market. While we have made great strides in our cost-reduction efforts, there is more to do. We remain confident in delivering the $20 million cost-reduction goal by 2021. With the improved balance sheet, we are now better positioned to take advantage of opportunities that enhance our portfolio while maintaining our disciplined approach to capital allocation. Thank you for listening. We will now take questions.
Operator: [Operator Instructions] Your first question comes from the line of Chris Moore of CJS Securities.
Chris Moore: Maybe could start with kind of -- some of the end markets. Are there any specific end markets where demand has been maybe especially strong near term, but might not continue at that same level?
Alok Maskara : I think the -- our largest end market, as you know, is general industrial and we are quite pleased with the demand there and that applies to many of our product lines, and the current ISM Index and all trends continue to be favorable. So we are pleased with that. On the other side, oil and gas has been a big driver for us and that includes the alternate fuel product line in cylinders. And at oil at about $65 to $70, we are still in good shape. But if that drops substantially below, goes down to $50 or so, I can see that slowing down for us a bit because that's an area that has been cyclical in the past. But industrial, which is majority of our places, we think, is in a quite good shape.
Chris Moore: On the zirconium chemicals side, I know the focus here has been kind of to transition to the higher-value applications. That said, is volume still that you get from the lower-end applications where there might be more competition? Is that still an important element in the overall margins there?
Alok Maskara: Yes, it is. I mean, I think it's still a healthy margin business for us and volume recovery in that segment, which is typically in the auto-catalysis side. And we are getting some good volume recovery and it drops through quite well for us. I mean, it's still the [Indiscernible] margin from a gross margin perspective. So it is important. And the higher-value product is making good progress and sometimes they are just longer cycles to get new customers and new products in that area.
Chris Moore: Got it. I'm sorry, I know you don't break out specific product revenue, but maybe can you just give kind of a relative sense of the SoluMag strength, and maybe just as importantly, how much visibility do you have over the next 9 to 12 months on SoluMag?
Alok Maskara: We had pretty good visibility only for a product in 30 to 60 days in this business. The oil service companies, I think they have a fairly variable business model, and sometimes, they have too much inventory; sometimes, they have never enough. So I don't think we have long-term visibility into that. But so far, I mean, it's fair to say that, last year, this was a sub-$10 million product line. This year, it doubled -- or more than doubled. We expect Q4 to be slow, which is normal when you are on a gas service just based on holidays and other factors in the U.S. And we feel very comfortable that we have like a much lower share today than what our entitlement on this product line is. So we continue to see growth. We are putting in more capacity, but that's starting to become a challenge. And we remain bullish on the product.
Chris Moore: Got it. Last question for me. So obviously, the margins in both segments are very good. The incremental margins on the cylinders were certainly better than I was looking for. Can you talk a little bit more about kind of what's driving that and that sustainability over the next few quarters?
Alok Maskara: Sure. I think, first, Superform has made good progress. We have new good leadership there. We have been working diligently to offload negative-margin products and customers and have made some good progress in driving lower scrap rate and better alignment with our customers on a value added sales. So I think Superform has been a big part of that margin increase. In addition, our core Gas Cylinder product line when aluminum and raw materials spiked up, we were caught a little short earlier this year and now we have sort of managed to catch up to be able to work through all the contractual issues to get pricing surcharges to offset increased aluminum cost. I think those are two big drivers there.
Operator: Your next question comes from the line of Phil Gibbs of KeyBanc Capital Markets.
Phil Gibbs: First question was just on the cost reduction. I think you talked about $6 million in the script. Now is that net of any spending you may be doing from a nonqualified restructuring standpoint in the fourth quarter? Or is that before that number?
Alok Maskara: Yes, Phil. We look at that as a clean net of any spending because we have some of that going on even now as we are consolidating two plants in U.S. So these numbers are not net of any incremental spendings.
Phil Gibbs: So if you've got $20 million of that cost savings in terms of your target for the next few years, how much of that is behind us in '18? Should we look at it as $14 million left ago or is there more left to go, given that you've got some qualified restructuring -- nonqualified restructuring in there?
Alok Maskara: So I would look at it as we got $14 million to go because I think -- because some of the nonqualified restructuring, given the number of the projects, may continue for the next couple of years. And that -- those numbers are good till 2021. I mean, we are clearly looking at other opportunities beyond 2021. And at this stage, we are a more limited by bandwidth and the ability to execute on those projects. But I would look at it as $14 million to go between now and 2021.
Phil Gibbs: Okay. I think CapEx was a little bit light of our expectations for the third quarter. And I think you've got reasonably healthy expectations for the full year, this year and next year. Should we still think about that being in the $15 million to $20 million range, do some catch-up in Q4?
Alok Maskara: For next year, yes, and that's mostly driven by like we have some large projects coming up that are going to drive productivity and growth for us. I think that's what you -- and this year, we are still learning honestly. I mean, we have put some really good controls over it. Heather has done a really nice job putting more discipline on the process. So yes, it's light but I don't think we have delayed any project. This may be more a normal run rate than what we had in the past. But I do expect more capital needs next year to fund all our appropriate productivity and growth projects.
Phil Gibbs: So you think 15 million is a good number for this year, Alok, with maybe a little bit of growth next year?
Alok Maskara: Yes. I think 15 million is about right for this year. And then next year, we probably would be closer to 20 million as we like start funneling and fueling productivity projects.
Phil Gibbs: And then another thing you had mentioned is that you're, I think for the next three years, so '19, '20, '21, you're standing by 8% to 10% growth rate in earnings. A couple of questions around that. Now are you including M&A in that? And secondly, what's your tax rate exemption?
Alok Maskara: So we are not including any M&A. I mean, that's, to me, a completely different discussion in a different bucket on that. And our tax rate, we are looking at just hovering around the current range of $20 million. The net operating losses are a little unpredictable for us. So we're not going to bake in any benefits of the net operating losses. So we'll just hover around 20 million on the tax rate.
Operator: [Operator Instructions] Your next question comes from the line of Sarkis Sherbetchyan of B. Riley FBR.
Sarkis Sherbetchyan: Alok, it seems like the business momentum is still strong and the ISM numbers certainly seem to support the industrial end markets. And you did mention you're accelerating some investments to boost your long-term growth potential. Can you maybe give us some more color on what those investments are specifically? Are they geared to any particular product lines? Any new opportunities we should expect?
Alok Maskara: I think there's both growth and productivity that we are looking to accelerate some. And these are like in a steel project that is now shovel ready and for us to able to pull forward from '19 into '18. We continue to look at opportunities within G&A, so we are looking to consolidate a lot of things, trying to put some good shared services type infrastructure in there. There's footprint consolidation, which is obviously something that we'll continue so that we can serve our customers better with fewer and more meaningful locations. And then finally on the growth side, besides small incremental investments in innovation, I think the bigger investment is going to be around just getting capacity in the area like SoluMag, where we are essentially running out of capacity right now. So we need to put some capital and expenses to get capacity up to where we need for next year. So those will be three big buckets, growth capacity truly looking at those establishing shared services and expenses associated with that, and then finally ongoing footprint consolidation.
Sarkis Sherbetchyan: And any change in thought around the type or level of R&D spend?
Alok Maskara: Not in the near future. No, we are very focused on lean innovation and first fixing our process, which I think the team has done a really good job and we are starting to roll that out and getting more customer insight onto what new products. We don't want to fall in the old trap of coming up with too many new products that nobody wants. So I think we're going to be very focused. Over the long term, I think our innovation spend will double in the next three years or so. But in the next three to six months, our focus remains on getting to the right customer insight, establishing the right process, and then we'll look at increasing the innovation spend.
Sarkis Sherbetchyan: And you did mention improvements in Superform. Seems like you're offloading some products there and then maybe going back for the customer and maybe renegotiating some price points. Is that the right way to think about it? Just kind of maybe outline the opportunity you have in Superform.
Alok Maskara: Yes. I think both of what you mentioned is true. I would also mention that part of the Superform has been a strategic review on what's our core competency, where do we truly bring unique value proposition to the customer and stay focused on that, which is our core technology that we can make aluminum flow like plastic and make really complex shapes for any applications, whether it's aviation or transportation or automotive. Having done that, then we went back, and in some cases, we told the customer maybe there's a different vendor who can do your about welding and bending and packaging better than us and you should consider that. And in other cases, we looked at our own internal scrap rates, which were running really high and try to get that. So it's been a long journey. It probably took us a little longer than we were hoping to, but the improvements are solid and sustainable. And in some cases, yes, we had to go back with customers and get at least fair value. So we are not keeping GBP 10 bill to every product that we're are shipping out. That's just non-sustainable for either party.
Operator: Your next question comes from the line of Rich Glass of Glass Capital.
Rich Glass: So my questions were answered already, but one on the pension liability, which came down nicely in the quarter. I know their accounting is little different. Can you run us through what went on there and if that should continue? Or at what pace that should continue the decrease in liability?
Heather Harding: So the main factors there are around the discount rate, which is, in large part, tied to bond deals in the U.K. so -- and that's not something that we can control. So certainly, you've seen a nice reduction this year from if I go back to the beginning of the year, $55 million and now we're down to $26 million. Also, we do continue to make, as agreed upon, payments into the pension fund, and we'll continue that at a decent level we've committed to that over the next period, next planning period. So it's difficult to give guidance on what will happen with the deficit because of market conditions from a discount rate perspective. But we've committed to continuing to make payment.
Rich Glass: So all else equal though, you'll make payments and it'll come down but less quickly?
Alok Maskara: Yes. I think we going forward, our historic payments on the pension fund has been in the range of probably $6 million to $8 million. And going forward, I think it's going to be in the $5 million to $6 million range. And so there is reduction in the annual payment that we will be making, but we will continue to make those payments for the next 3 to 6 years. And some of the deficit is just funny money because, as Heather said, it depends on life expectancy, market returns, U.K. bond yield, and unfortunately, we cannot control any of those.
Rich Glass: The other question, Alok, just to clarify or help my understanding and maybe everyone's understanding a little bit. On the innovation spending, which you said will double in the next, I guess, 2 to 3 years, does that mean R&D should double or it's just sort of the component of R&D that's more devoted to new products and new research as opposed to what getting spent there now?
Alok Maskara: I think it's definitely the component of R&D that's dedicated to new product. Not newly core new research because that's a small portion and we rely on kind of others and universities to preach some of that to us. So it's mostly around a new product. Now it's a very small portion of our revenue. I mean, today, it's less than 1%. And in fact, in '18, it's probably down a bit compared to '17 because we cleared so many of the products which have been lingering around in the pipeline. From the long term, yes, it is going to double and we keep that as -- our strategic goal is not to double that. Strategic goal is to double the revenue from new products. We just realized that we need to spend more in the future and that's going to be around finding the right personnel, in some cases, the right expertise. And in other cases, it's about getting the better understanding of our customer needs. Those are kind of what's stopping us from doubling it today.
Richard Glass: Okay. So it's not a doubling of R&D overall, it's a doubling of the partial spend that you're talking about? Okay.
Alok Maskara: That's right.
Operator: Your next question comes from the line of [Stephen McIsaac of Gracelane Capital] (ph).
Unidentified Analyst: I had just a couple. I guess, first off, on the spending that you're accelerating into this year, which seems to make a lot of sense given how well the business is doing. Is that going to expand the $20 million cost-saving opportunity? Or it sounds like it's going to accelerate growth, but it's also going to improve efficiency. So do you think you have the potential to make that $20 million a larger number or is this kind of longer term part of that beyond 2021 opportunity you talked about?
Alok Maskara: We're going to keep the headline number at $20 million. I mean, internally, what's going to allow us to do is substantially increase our confidence in that and maybe try and get it in a little bit sooner. Anyway, these are large complex projects and we need to work through each of them. But I don't want to move the line in the sand from $20 million to a higher number at this stage. What we would look at is that's a great opportunity for us to make sure we have higher level of confidence in that and that maybe we can get it a little bit sooner. Just like even this year, we are ahead of what we had told you guys we will be in cost savings.
Heather Harding: I think this really is kind of a pull forward, as Alok had said earlier. So just think about it more as a shift in timing.
Unidentified Analyst: And then, I guess, that leads me to the second question, which is based on the guidance that you've given for the $1.65 and the results of the business year-to-date, I mean, it looks like Elektron is going to be well into the double-digit revenue growth even if we backed out some of the hurricane benefit in the first half and then Elektron probably high single-digit revenue growth and both of those segments are driving -- that growth is driving pretty nice margin leverage. So looking at that, and you telling us that the indicators are strong for your business and then we still got another $14 million of cost saves, how do we reconcile that to your goal for 8% to 10% EPS growth? Because it seems like the business is running well ahead of that, at least in the near term.
Alok Maskara: Yes. I think there are 2 aspects to. Let me address them separately, right. On a very short term so sort of Q4, Q4 is highly seasonal for us. And as you saw last year, I mean, revenue dropped significantly, sequentially when it go from Q3 to Q4. And this year is probably going to be more seasonal because we have greater exposure to oil and gas. And so that's kind of on the Q4. On a long-term basis, we are optimistic but we also are looking at being in year 10 of a 7-year economic cycle, all the questions around the trade barriers and trade wars. Listen, if things go perfectly, we'll clearly be higher than the range of 8% to 10% and I think we'll deliver to the best of our abilities. But at the same time, given everything going on, we don't want to make a commitment that we are going to miss. We look at 8% to 10% as within our reach based on all our cost reduction plans, based on like even modest growth assumptions and pulling that forward.
Unidentified Analyst: Okay. I guess, lastly, you brought up the trade wars and things like that. You've been very good at getting -- or successful at getting price increases to offset input costs. Did the tariffs to the -- what kind of impact do you expect from the tariffs? And do think you'll have any trouble just passing that along?
Alok Maskara: I think the largest impact we got was on the aluminum side because we do buy most of our aluminum in the U.S. from Canada. So that was our largest and that happened earlier in the year. And since then, it's been a pretty stable situation. The trade war with China, it may be neutral or, in some cases, it might actually work in our favor because we are like core manufacturers in U.S. and often compete -- or sometimes compete against products coming in from China. So while on the aluminum side, it's negative for us on some of the broader pieces, we are not sure, but it may turn out to be somewhat positive for us. So net-net, given all the noise and the uncertainties and the fact that every time the list of materials that are going to be subject to trade sanction is published, there are ins and outs on those, just really hard to tell. So we continuously monitor, but I don't expect major changes either way. Any of the impact would be more on the fringes for us.
Operator: Your next question is a follow-up from the line of Phil Gibbs of KeyBanc Capital Markets.
Philip Gibbs: Look, you had mentioned, I think, in your revenue script about Lokelma, the AstraZeneca drug, and you mentioned that there is likely going to be some shipments in '19 in the zirconium business. So just looking for some context behind the timing and how you all are feeling about it.
Alok Maskara: Yes. Phil, good question. First, we are very excited. This is an example of moving our zirconium business to much higher value add because our technology does deliver that. So quite excited about it. The long term, I look at this as a double-digit million in revenue opportunity for us, but that's probably three years away. Where we are today is we would expect shipments starting second half of next year. We're doing small sample quantities and pre-production type quantities right now, but we would expect the shipments to start second half of next year at this stage.
Operator: I will now return the call to Doug Fox for closing comments.
Doug Fox: Thank you, everybody, for joining us this morning. Our next regularly scheduled earnings call will be in 2019 in March, where we will discuss our fourth quarter earnings, which we will report in U.S. GAAP. Until then, have a great day and we'll talk to you soon. Thank you.